Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's First Quarter of Fiscal 2026 Results. [Operator Instructions] Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. And now I would like to turn the conference over to Mr. Anderson.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the first quarter of fiscal 2026. On the call today from LifeVantage with prepared remarks are Steve Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast November 4, 2025. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today's release or call. Now I will turn the call over to Steve Fife, the President and Chief Executive Officer of LifeVantage.
Steven Fife: Thanks, Reed, and good afternoon, everyone. Thank you for joining us today. Before we dive into our Q1 results, I want to take a moment to reflect on what has truly been transformational this quarter for LifeVantage. We successfully closed the strategic acquisition that positions us at the forefront of a rapidly growing wellness market. We've brought together 2 passionate consultant communities and we've continued to execute on our product differentiation of activating the body through nutrigenomic innovation. Looking at our Q1 2026 results. Net revenue of $47.6 million was up fractionally from a year ago, reflecting a modest increase in the number of consultants and similar growth rates in both the Americas as well as Asia Pacific and Europe. Adjusted EBITDA of $3.9 million was down $500,000 versus last year due to lower contribution margin, partially offset by lower SG&A. Given its strategic importance, let me now turn to the LoveBiome acquisition we closed on October 1. This transaction represents far more than just additional products in our portfolio. It's about positioning LifeVantage squarely within one of the fastest-growing segments in wellness, gut microbiome health. The gut health supplement market is projected to grow from $14.4 billion in 2025 to $32.4 billion in 2035 million and LoveBiome flagship P84 product aligns perfectly with our approach to product using carefully selected blends of naturally derived ingredients that activate optimal health processes ensuring your body is making things it needs for health. The innovative product that's right alongside our existing portfolio of scientifically validated activators including our flagship Protandim Nrf2 Synergizer customer favorite, TrueScience Collagen and our breakthrough MindBody GLP-1 system. But what makes this partnership truly special is our shared commitment to the direct selling industry and the empowerment it provides to consultants around the world. By bringing LoveBiome consultants into our industry-leading evolve compensation plan with compelling products that address a broad spectrum of health concerns, we're able to activate wellness, both financially and physically to a much broader base of consumers. The integration of LoveBiome is essentially complete with systems and website cutover happening this past weekend. We successfully onboarded personnel, including founder, Kelly Olsen, and his leadership team and we're seeing positive early indicators from the consultant community integration. Consultant product cross-selling training has kicked off and is expected to ramp during the quarter. From a financial perspective, we're on track to achieve the operational synergies we outlined at the time of the acquisition announcement. The integration of our technology platform, supply chain operations, and consultant support system is progressing smoothly, and we expect to realize the full benefits of these synergies as we move through fiscal 2026. Looking beyond this fiscal year, we remain confident in our ability to drive improved operating leverage as we scale our combined operations and realize the full benefits of our strategic investment in technology, product development and market expansion. The timing of this acquisition couldn't have been better as it allowed us to showcase this exciting partnership at our U.S. Momentum Academy event, which was held in Dallas on October 24 and 25. This was truly a historic event. The first time our 2 active communities came together in person for training, along with incentive and product announcements. The energy in Dallas was absolutely electric. We had nearly 2,000 registered, making it one of our largest Momentum Academy events ever. The integration of our consultant communities exceeded our expectations with LoveBiome consultants embracing our drive era quarterly incentive campaign and our comprehensive training programs. This year's event centered around the theme, Love Life and Drive which served as both a nod to the companies coming together and inspiration to consultants to take the driver's seat in their business with purpose, speed and unstoppable momentum. Nothing replaces the energy and momentum that comes from meeting in person, and our time in Dallas emphatically proved that point. Attendees are also trained on Healthy Edge, a groundbreaking combination that pairs the original proven technology of Protandim Nrf2 Synergizer with the emerging science of P84. Individually, each product delivers powerful benefits by supporting cellular health and system communication. Together, they form a peak performance wellness system that provides foundational health throughout the entire body, helping you feel ready to take on life's daily challenges. Consultants at the event got a first look at results of a recently completed in vitro study on P84, which demonstrated the activation of 14 natural peptides found in the gut responsible for regulating, repairing and restoring this vital organ. While most other gut health products merely supplement with pro, pre and post-biotics, the testing proved the activation differentiator of this comprehensive product. We will be providing more details of these exciting results in the coming weeks during the full P84 and Healthy Edge product launch. Next, let me update you on the Shopify partnership we announced last quarter as this is a key focus as we continue to invest in modernizing our technology infrastructure to meet the demands of today's fast-paced consumers. This quarter, the team made great progress with the design, content and development aspects of our new e-commerce platform as we work towards a pilot this fiscal year and later our full rollout. This partnership with the most reputable highest converting e-commerce platform on the market will deliver significant growth potential for both LifeVantage and our consultants. Shopify enables increased conversion and brand advocacy through seamless channel experiences, deeper personalization and data insights and greater consumer confidence through enhanced payment security, checkout reliability and order tracking. As we look ahead to the remainder of fiscal '26, I'm optimistic about our positioning and growth trajectory. The successful integration of LoveBiome has expanded our addressable market while strengthening our consultant base with passionate, experienced entrepreneurs who share our commitment to activating optimal health. We're not just adding products or consultants or creating a comprehensive wellness ecosystem that addresses multiple aspects of human health, including physical and financial from cellular health with Protandim to metabolic wellness with MindBody to gut health with P84 to beauty and longevity with TrueScience. We're uniquely positioned to serve the evolving needs of health-conscious consumers worldwide. And with our industry-leading evolved compensation plan, comprehensive training and recognition programs and vibrant community, we're uniquely positioned to serve the unique needs of entrepreneurs worldwide as well. The direct sales industry continues to evolve and companies that combine innovative products, compelling compensation, modern technology and authentic community will be the winners. I believe LifeVantage enhanced by our LoveBiome partnership is perfectly positioned to lead in this new era. With that, let me turn the call over to Carl for a detailed review of our financial results and outlook. Carl?
Carl Aure: Thank you, Steve, and good afternoon, everyone. Let me walk you through our first quarter financial results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. For the first quarter of fiscal 2026, we delivered net revenue of $47.6 million, which was up 0.7% compared to $47.2 million in the first quarter of fiscal 2025. The slight increase in net revenue reflected increased sales of our MB GLP-1 system, offset by lower sales of Protandim and TrueScience product line as well as decrease in total active accounts. While net revenues in our primary geographic regions were both up slightly in the first quarter, we did experience higher growth in Japan, driven by the launch of the MindBody GLP-1 system beginning in March. For the quarter, revenues in Japan increased 2.6% on a constant currency basis. Our gross margin for the quarter was 79.5%, down 40 basis points compared to the prior year period, primarily due to increases in shipping and warehouse related expenses. Commissions and incentive expense as a percentage of revenue was 43.5% in the first quarter compared to 43% in the prior year period. The increase was due to changes in sales mix, along with the timing and magnitude of our various promotional and incentive programs. Non-GAAP adjusted SG&A expense was $14.6 million in the first quarter compared with $14.7 million in the prior year period. Adjusted non-GAAP operating income was $2.5 million in the first quarter compared with $2.7 million in the prior year period. Adjusted non-GAAP net income was $2.3 million or $0.18 per fully diluted share in the first quarter compared to $1.9 million or $0.15 per share in the prior year period. We recorded income tax expense of just under $100,000 in the first quarter compared to income tax expense of approximately $800,000 in the prior year period. Our overall effective tax rate for the quarter was approximately 4%. The decrease in our effective tax rate for the first quarter was due to the positive impact of discrete items recorded in the quarter. We anticipate our full year fiscal 2026 effective tax rate to be approximately 25%. Adjusted EBITDA for the first quarter was $3.9 million or 8.2% of revenues compared to $4.4 million and 9.4% in the same period a year ago, primarily reflecting lower gross margins and higher commission and incentive-related expenses. Please note that all of the adjustments from GAAP to non-GAAP that I discuss today are reconciled in our earnings press release issued this afternoon. Our financial position remains strong with $13.1 million of cash and no debt at the end of the first quarter compared to $14.6 million a year ago. We also maintain access to a $5 million revolving line of credit. Capital expenditures totaled $400,000 in the first quarter compared to $300,000 in the prior year period. Turning to capital allocation. We repurchased 44,000 shares during the first quarter at an average of $13 per share for an aggregate purchase price of $600,000. As of September 30, 2025, there is still $16.7 million remaining under our existing share repurchase authorization. Today, we also announced a quarterly cash dividend of $0.045 per share of common stock or approximately $600,000 in the aggregate. This dividend will be paid on December 15, 2025, to stockholders of record as of December 1, 2025. Since the beginning of fiscal 2024, we have returned approximately $19.8 million in total value to our stockholders through stock repurchases and dividends. We will continue to focus on our balanced capital allocation strategy in order to drive value for our stockholders. Turning to our outlook for fiscal 2026. We continue to expect our full year revenue will be in the range of $225 million to $240 million, which includes expected revenue contribution from the LoveBiome transaction. We are also reiterating our profitability guidance and expect adjusted non-GAAP EBITDA in the range of $23 million to $26 million and adjusted non-GAAP earnings per share in the range of $1 to $1.15 per share. We continue to anticipate revenue in the second half of fiscal 2026 will be higher than the first half due to the seasonality associated with our MindBody product line and the impact of the LoveBiome acquisition. Overall, we are pleased with the continued improvement in our profitability metrics and remain committed to improving our adjusted EBITDA margins to reach our long-term target. And with that, let me turn the call back over to the operator for questions. Operator?
Operator: [Operator Instructions] The first question we have comes from Doug Lane of Water Tower Research.
Douglas Lane: Before we get to LoveBiome, can you give us a feel -- I know you don't put out quarterly guidance, you put out annual guidance. But can you give us just a some sort of feel on how you thought the September quarter came in versus your original expectations?
Steven Fife: Yes, Doug, this is Steve. Q1 is historically our low quarter. We have a lot of our consultant base that isn't as active during the summer months. And we saw that trend continue this quarter. We also -- when I look back to our prior year comparison, we had in September a year ago, a fairly strong ramp-up to our launch of MindBody that occurred in the middle of October and had a separate incentive 20% off a year ago and a ramp-up to that. So it was -- on a year-over-year comparison, it's probably a tough comparison to begin with. But again, kind of seasonally low in general for us over all the years. So a little softer than maybe than what we thought, but not alarming at all.
Douglas Lane: Okay. That makes sense. And this year, I guess you announced LoveBiome right in the third month, September. Was there any impact to your business? Did that have any impact on your business between September 3 and October 1.
Steven Fife: No. There was 0 revenue contribution from LoveBiome. We didn't close the transaction until October 1. So there were 0 revenue impact from the LoveBiome group. If anything, I would say that our consultant base of the LifeVantage consultant base may have kind of taken their foot off the gas a little bit to wait and see the anticipation and to understand what all of that meant. So possibly some just kind of a pause with some of the LifeVantage consultants, but no contribution from the LoveBiome revenue group.
Douglas Lane: Okay. That's good color. So actually, the opposite of what happened last year. So LoveBiome closed on October 1. So you will benefit from a full quarter of their sales just mathematically before you even begin the integration of their sales force and the rollout of the Healthy Edge stack. So let me ask you this. And that will help offset that tough comparison from last year, but I get that really -- really, we're looking at the second half year to really get the full benefit of LoveBiome becoming part of LifeVantage.
Steven Fife: Yes, that's exactly right. We -- the transaction closed on October 1, and for the entire month of October, we were operating separately. So their systems, their website, their comp plan was still in full effect and similar for LifeVantage. What's really exciting and really a great success for us is that over this last weekend, we took our systems down for a few days, but converted all of LoveBiome onto LifeVantage's systems, both the transactional side, the e-commerce, the websites, the back offices, so all the tools that the consultants use and the compensation plan. So effective November 1, we have really integrated all aspects of our business. And that was a huge effort for us to pull off so quickly. And now that integration piece is behind us, and we can focus more of our attention on really optimizing now the combined consultant base and customer base of the 2 companies. So we've put in place a very robust training programs of the cross-selling opportunities. Clearly, we've got a full court press on training the former LoveBiome consultants on the evolved compensation plan and helping them understand how their businesses can benefit from that. And the reception to both sides, I guess, of this partnership has been tremendous. But everyone is kind of drinking from that proverbial fire hose right now. And so the quicker we can get everyone trained and up to speed, and that's going to take a minute for that to really happen. But that's why we also -- and from the very beginning, it felt like our second half of the year is going to be larger than our first half weighted heavily to the second half because of that ramp up with LoveBiome but also reentering a season at our MindBody product will come to the forefront with a lot of consumers. As we enter kind of the traditional weight loss season in the January time frame. And then there's a little bit of a resurgence in the April, May time frame as people start looking closer to summer as well.
Douglas Lane: A lot of moving parts. Let's talk about the science a little bit. The P84 Nrf2 stack sort of a no-brainer right, the 2 flagship products from each company. But what I think interests me is how deep you're going on gut health. And what are the opportunities from a gut health standpoint with LoveBiome science combined with the work that you've done on MindBody?
Steven Fife: Yes. Well, it fits in from the very first conversations that we had with LoveBiome. The question that we asked ourselves and had to answer was how does it sit into our activation philosophy from a product standpoint. And we've started to do testing on P84, and we were fortunate that right before our Dallas Momentum Academy just a few weeks ago, we announced results from an in vitro test of P84, where I mentioned that we identified 14 peptides in our body that are responsible for regulating, repairing and restoring overall gut health that were activated. So our body's ability to produce is so far superior to anything that we can supplement with it. And our -- that in vitro test showed that across these 14 peptides, it increased the production of those peptides and so we're thrilled with that and adding another activator in a market that it's projected to grow from $14 billion to $35 billion over the next 10 years. So we see a huge massive white space for us to operate in with a product that fits into our product strategy as well as when you couple that with the power of Protandim Nrf2 and we've got studies underway right now that we'll hopefully be announcing here in a couple of months around that power of the synergistic benefits of taking Protandim and PAD together and what we've now positioned in what we call our Healthy Edge stack.
Operator: There are no additional questions in the queue. So I'll turn the call back over to Steve Fife for closing remarks. Please go ahead, sir.
Steven Fife: Yes. Thanks, operator, and thank you, everyone, for joining us today. As we conclude, I just want to extend my appreciation to our committed employees, our outstanding independent consultants and stockholders and all of our faithful customer base. And I look forward to updating you next quarter with further clarity and outcomes of our results. Thanks a lot.
Operator: Ladies and gentlemen, that then concludes today's conference. Thank you for joining us. You may now disconnect your lines.